Operator: And good day, and thank you for standing by. Welcome to the Third Quarter Fiscal 2025 EnerSys Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. To ask a question during this session, you will need to press star one one on your telephone. You will then hear an automated message advising your hand is raised. To withdraw your question, please press star one one again. Please be advised that today's conference is being recorded. Now I would like to hand the conference over to Lisa Hartman, Vice President Investor Relations and Corporate Communications. Please go ahead.
Lisa Hartman: Good morning, everyone. Thank you for joining us today to discuss EnerSys' third quarter fiscal 2025 results. On the call with me today are David Shaffer, EnerSys' Chief Executive Officer; Shawn O'Connell, EnerSys' Executive Vice President and Chief Operating Officer; and Andrea Funk, EnerSys' Executive Vice President and Chief Financial Officer. Last evening, we published our third quarter 2025 results and our 10-Q with the SEC, which are available on our website. We also posted slides that we will be referencing during the call. The slides are available on the Presentations page within the Investor Relations section of our website. As a reminder, we will be presenting certain forward-looking statements on this call that are subject to uncertainties and changes in circumstances. Our actual results may differ materially from these forward-looking statements for a number of reasons. These statements are made only as of today. For a list of forward-looking statements and factors that could affect our future results, please refer to our recent Form 8-Ks and 10-Ks filed with the SEC. In addition, we will be presenting certain non-GAAP financial measures, particularly concerning our adjusted consolidated operating earnings performance, free cash flow, adjusted diluted earnings per share, and adjusted EBITDA, which excludes certain items. For an explanation of the difference between the GAAP and non-GAAP financial metrics, please see our company's Form 8-Ks, which includes our press release dated February 5, 2025. Now I'll turn the call over to EnerSys CEO, David Shaffer.
David Shaffer: Thank you, Lisa, and good morning. Please turn to Slide four for a review of our third quarter performance. Q3 marked a return to growth. We executed well, increasing profitability, and improving but still mixed market conditions. Revenue was up 5% year over year, supported by contributions from Brentronics and a gradual recovery in the U.S. Communications markets. Our year-over-year revenue increased somewhat below our expectations, primarily due to FX headwinds, a slower than anticipated ramp in U.S. Communications spend, and the impact of a large motive power customer's plant disruption in EMEA. We realized impressive margin expansion even before the IRA, driven by strong price mix across all lines of business, the accretive contributions at Brentronics, and operational improvements in Energy Systems. Adjusted EPS, excluding IRA benefit, was up 10% year over year and was up 22% inclusive of the IRA benefits. Free cash flow was down year over year but increased substantially versus prior quarter, driven by higher earnings and reduction in primary operating capital while continuing to make strategic investments. While market demand has yet to return to normal levels, we believe we have surpassed the inflection point. We are seeing a gradual recovery in the U.S. communications market and early indications of an upturn in the Class 8 OEM transportation sector. At the same time, we are executing our transformation initiatives, further optimizing our energy systems business and our Missouri plants, in order to be best positioned for growth and flexibility at lower costs, as demand continues to rebound. We are seeing promising demand indicators and positive momentum across our business, particularly as we approach the end of our fiscal year. Overall orders increased year over year, with Energy Systems Americas showing strength. We have revised our full-year guidance to reflect our Q3 performance and expectations for significant growth in Q4 over the prior year. Excluding the impact of the IRA, our Q4 guidance at the midpoint represents year-over-year revenue growth of 8% and an increase in adjusted EPS of nearly $0.60 per share or approximately 50%. And the substantial growth opportunities emerging across our portfolio. Shawn and Andy will give details by line of business on our third quarter fiscal 2025 financial performance and outlook, but I will first provide a few highlights on our strategy and execution. I'd like to share some high-level thoughts on the evolving policy landscape as the U.S. Administration implements new executive actions. We have been proactively assessing tariff scenarios and refining our supply chain strategies over the past two months, and we have already begun to undertake actions to optimize inventory and manufacturing processes to mitigate potential cost increases. In addition, given our strong and reasonable commercial relationships, we would enact swift and fair pricing actions as necessary. Our ability to navigate dynamic market conditions, as we have successfully demonstrated through prior supply chain disruptions and tariff regulations, is one of our strengths, positioning us for long-term success in an evolving environment. Additionally, while it is possible that the ultimate project plan delivery date as 90-day administrative review processes are underway, we cannot speculate on the outcomes but remain optimistic due to the importance of our products and planned investment for national security, domestic supply assurance, and American manufacturing job creation. Therefore, we are moving forward with a disciplined risk mitigation approach, ensuring our execution plans remain agile and adaptable. One area of bipartisan consensus is the importance of a robust domestic supply chain, particularly for defense-related products. EnerSys is well-positioned to support the U.S. Government efforts in this area, reinforcing our role as a trusted partner in energy storage solutions, which would be further enhanced by our planned lithium Gigafactory. Please turn to Slide five. We remain at the forefront of innovation, introducing cutting-edge products such as software-driven energy management systems. These advancements equip our customers with adaptable and efficient solutions that evolve alongside their needs. We recognized our first revenue from our fast charging storage system, marking an important milestone for the company. We are leveraging our fast charge and storage lithium and software technology to accelerate the development of a new battery energy storage system for motive power warehouse and distribution center customers. We are designing this solution to tackle power continuity challenges, costly infrastructure upgrades, long lead times, and limited flexibility. Barriers that often slow electrification efforts. Our BESS will enable peak shaving, power factor correction, and optimum energy use. Engineered for rapid deployment and semi-portability, our BESS will enhance flexibility and efficiency for our customers' operations. We look forward to previewing this new solution at both Promat and Logemat trade shows beginning this March. We will also be previewing our next-generation charging solutions at both trade shows. This advanced line delivers exceptional efficiency and performance, featuring two-way data and energy flow capabilities to optimize energy use. Alongside our BESS, these solutions offer cloud-based data reporting for enhanced energy and operational management. Together, they lay the foundation for on-site microgrids, enabling our customers to efficiently store, manage, and utilize energy. We are also pleased to announce that YIQ battery monitoring devices are now standard on all applicable Motive Power products sold in North America, which is an integral first step in enabling new value-added services through our IoT strategy. YIQ provides fleet managers with performance insights and analytics, enabling data-driven decisions that optimize energy consumption, improve battery management, and extend asset life. This technology reduces downtime, lowers operational costs, and enhances sustainability, delivering measurable value to our customers while reinforcing EnerSys as the leader in intelligent energy management solutions. Our thoughts are with those impacted by the recent wildfires in Los Angeles, and we extend our deepest sympathies to those affected communities. While it is unfortunate that our solutions were needed, we are proud that our Alpha XRT extended runtime power systems performed as delivering 72-hour backup power to keep emergency services, telecommunications networks, and critical infrastructure connected when it mattered most. With over 5,000 installations, this crisis reinforced the reliability and resilience of our technology. I also want to recognize the incredible efforts of our field service teams who provided on-the-ground support to our customers, ensuring seamless deployment, maintenance, and rapid response during the emergency. As extreme weather events become more frequent, our commitment to delivering high-performance energy solutions remains stronger than ever as it becomes increasingly critical to our customers and the communities they serve. We continue to focus on optimizing the business as well. Our investment in our Missouri factories has significantly progressed operational flexibility, allowing us to better adapt to shifts in customer demand while driving long-term efficiency gains. These enhancements remain on track for completion by the end of the fiscal year and position us for sustained operational excellence and growth, as is evidenced by our teams achieving a 20% year-over-year improvement in both our Springfield one scrap rate and our global TPPL scrap rate fiscal year to date. This quarter, we continue to accelerate the business through our transformation strategy. I am pleased to report that Brentronics acquisition is contributing to revenue and earnings above our expectations, and all major U.S. integration milestones are complete. We were proud to receive several recognitions this quarter, including being named to Newsweek's list of America's most responsible companies and receiving the 2025 Military Friendly Employee designation for the second year in a row. In closing, we anticipate dynamic conditions to persist in the coming months as markets absorb evolving U.S. Administrative executive actions. We have successfully managed through similar external challenges in the past, and our operational flexibility is even better than before. We are confident that we are well on track for continued top-line and profit expansion as we close the fiscal year. I will now turn it over to Shawn to take you through more details of our operations.
Shawn O'Connell: Thank you, Dave. Please turn to Slide eight. Before I dive into the details of our performance this quarter, I want to take a moment to express my enthusiasm for the strong execution I've seen from our team over the past few months. It's been a privilege to step into this expanded leadership role. One of my first priorities has been ensuring we have the right leadership in place to sustain our momentum and accelerate our progress. We are very pleased to have Keith Fisher come on board as President of our Energy Systems business. With experience in complex global strategies in multibillion-dollar businesses, Keith brings tremendous capabilities in execution, operational excellence, and services transformation to EnerSys. As I step closer to assuming the role of CEO in May, I have been deeply engaged in listening to our employees, customers, board members, and shareholders. This process has reinforced my confidence in the incredible opportunities ahead. Opportunities we are uniquely positioned to seize by leveraging our leading market position to help our customers solve their mounting energy and labor challenges. These important conversations and observations have solidified my conviction in the strategic actions I plan to lead and have helped me begin to frame our execution plan and financial targets as we build on the strong foundation established under Dave's leadership. Our focus will be to reprioritize our growth verticals, expand our service capabilities, and optimize our operational efficiencies. Areas in which we have significant opportunities to unlock value. I look forward to sharing more details of this strategy in the coming quarters. I can confidently say that I have never been more excited about the future of EnerSys and the potential we have to drive sustained growth. I am extremely pleased with the team's execution, delivering a 77% year-over-year increase in adjusted operating earnings on a 4% year-over-year increase in revenue. Q3 marked the first year-over-year revenue gains in six quarters and the first year-over-year increase in operating earnings in five quarters. Both sequential and year-over-year profit growth was driven by the structural improvement actions we have taken, beginning to be visible in our financial results, along with recovering spending by our U.S. Communications customers. Demand indicators for this business are positive. While EMEA orders remain muted, America's year-over-year order rates were up across all end markets, with communications up nearly 40% and data center up approximately 25%. While spending has not yet returned to prior deployment levels, the increase in activity alongside rising order volumes confirms that the indicators we have been tracking over the past two quarters are now beginning to translate into realized revenue. As anticipated, the deferral of network resiliency investment could only last so long. Encouragingly, we are also witnessing early project work and network expansion investments beginning to take shape in U.S. Communications, largely driven by AI data demand broadly across the industry. Lower interest rates and the continued surge in AI-driven data consumption driving last-mile connectivity demand should spark broader network expansion. As an example, one of our largest customers just increased their outlook by 20% for a core telecommunications power project. Motive Power performed in line with the prior year, with our higher-margin proprietary maintenance offerings driving positive price mix. In Q3, sales of these products were up 17% year over year, representing 27% of total motive power sales, up from 23% in the prior year. This shift underscores the strength of our competitive positioning and our ability to drive pricing and mix improvements. We are accelerating the introduction of lithium and IoT-enabled product offerings to further enhance our customers' experience. Q3 results reflected some headwinds from FX and one-time events that we do not expect to repeat in Q4, including a large customer plant disruption in EMEA, which came back online this quarter. While motive power volume growth has been relatively soft this year, looking forward, demand indicators are encouraging. And industry data continues to support our expectations of mid- and long-term market growth opportunities. To that point, although recent industry data shows a year-over-year decline in the Americas, there was a significant order rate improvement in December, the strongest month this calendar year. And industry experts continue to anticipate lift truck shipments to reach near double-digit growth for the next calendar year. Our book-to-bill ratio was above one, and our global backlog remains healthy, nearly two times historic levels. And while we are experiencing general economic weakness in EMEA, with the automotive sector causing some broad near-term pressure in the region, our pricing discipline, mix optimization, and strategic product introductions are driving stability in earnings and positioning Motive Power for long-term success. In Specialty, we delivered significant year-over-year and quarter-over-quarter improvements in both revenue and adjusted operating earnings, driven by strong performance in aerospace and defense, supported by the outperformance of our Brentronics acquisition. Growth in Brentronics was fueled by robust demand for chargers, soldier power, and expeditionary power systems, as well as increased customer confidence now with EnerSys financial backing, which has led to discussions around larger, longer-term orders, a testament to the value of the strategic relationship. The impressive A&D results were partially offset by continued soft but stable volumes in Class 8 truck OEM demand, which is beginning to show signs of recovery. Looking at demand trends, our U.S. transportation Q3 2025 book-to-bill ratio was over 1.4, reflecting new account wins and aftermarket growth. Recent industry data shows North American Class 8 truck net orders were up 29% over the prior year in December. This data, combined with positive growing backlog in the Americas, gives us confidence we have hit the bottom, and we should see this business return to growth in the coming quarters. With strong momentum in Brentronics and broader A&D, coupled with signs of recovery in transportation markets, and our Missouri plant investments coming online, our specialty business is well-positioned for continued growth and profit expansion. I'll turn it over to Andy to discuss our financial results and outlook in greater detail.
Andrea Funk: Thanks, Shawn. Please turn to slide ten. Third quarter net sales of $906 million were up 5% from the prior year, driven by a 2% increase in organic volume, largely on Energy Systems Communications' early recovery and strength in data centers, as well as a 2% positive price mix across all lines of business, but Motive Power in particular, and a 3% positive impact from the Brentronics acquisition, partially offset by a 2% FX headwind. We achieved adjusted gross profit of $299 million, up $35 million year on year and up $19 million excluding the IRA benefits. Q3 2025 adjusted gross margin of 33% was up over 200 basis points versus the prior year. Excluding the IRA, adjusted gross margin was up 80 basis points despite some headwinds from commodity hedge timing and FX. Our adjusted operating earnings were $155 million in the quarter, up $25 million versus the prior year, with an adjusted operating margin of 17.1%. Excluding IRA benefits, adjusted operating earnings increased $9 million or 13% on 5% revenue growth, driving a 60 basis point margin improvement over the prior year. Adjusted EBITDA was $171 million, an increase of $27 million versus the prior year, while adjusted EBITDA margins were 18.9%, up 220 basis points versus the prior year. Adjusted EPS for the third quarter came in above the high end of our guidance range at $3.12 per share, an increase of 22% over the prior year. Excluding IRA, adjusted EPS was up $0.12 per share versus the prior year, but down $0.08 sequentially after absorbing over $0.20 per share of pressure collectively from FX, as well as commodity hedge timing and tax rate phasing that will not repeat in the fourth quarter. In the third quarter of fiscal 2025, our effective tax rate was 9.4% on an as-reported basis and 23.3% on an as-adjusted basis before the IRA, compared to 20% in Q3 of 2024 and 19.4% in the prior quarter. Our Q3 2025 tax rate was impacted by a phasing of tax recognition in the period due to the increase of pretax income from the additional IRA tax benefit we recorded this quarter, much of which will offset in Q4. Let me now provide some details by segment. Please turn to slide eleven. In the third quarter, energy systems revenue increased 4% from the prior year to $389 million, primarily driven by increased volumes and partially offset by FX pressure. Revenue was up approximately $7 million sequentially, marking the second consecutive increase as we continue to see improvement in these end markets. Adjusted operating earnings of $25 million grew for the fourth consecutive quarter, reflecting the increased revenue on top of the optimized cost structure, and were almost $11 million higher than the prior year. Adjusted operating margin of 6.5% increased 270 basis points. We exited the quarter with encouraging order trends in this business and expect to deliver further margin expansion as revenue recovers and we continue with our structural improvement efforts. As Keith assumes the reins, he is committed to holding headcount efficiencies while the business picks up, creating operating leverage on top of further actions he plans to take. Please turn to slide twelve.
Operator: Versus prior year,
Andrea Funk: Motive Power revenue increased 1% to $359 million as positive price mix and volume offset foreign exchange headwinds. As Shawn mentioned, volume was temporarily impacted by a plant disruption at our largest customer ship-to location in EMEA. Motive Power again reported strong adjusted operating earnings this quarter, contributing $53 million in line with the prior year and supported by ongoing OpEx discipline. Adjusted operating margins were 14.7%, relatively flat to the prior year. We remain optimistic coming out of Q3 with good visibility from industry data, as well as our own order book. With solid operational execution and higher maintenance-free TPPL volume, we expect healthy margin expansion in the fourth quarter. Please turn to slide thirteen. Specialty revenue increased 17% from the prior year to $155 million, driven by a 21% positive impact from the Brentronics acquisition and a 2% increase in price mix, partially offset by a 6% decline in organic volumes. With volumes increasing 4% sequentially, Q3 2025 adjusted operating earnings of $10 million were up approximately $2 million versus the prior year, with an adjusted operating margin of 6.2%, up 50 basis points. Margins are steadily moving toward our target range of low double digits. We are confident that we will see ongoing revenue and margin expansion over the next several quarters, driven by improved absorption and costs in our Missouri plants, benefits from the Brentronics acquisition, and growth in our higher-margin transportation aftermarket volume. Please turn to Slide fourteen. We achieved positive operating cash flow of $81 million, offset by CapEx of $24 million, resulting in free cash flow of $57 million in the quarter. Note that the benefit of our IRA credits has not yet had the full positive impact on our cash flow this fiscal year. We finalized our 2024 tax filings in January and expect to receive a tax refund of $135 million this upcoming March. As of December 29, 2024, we had $463 million of cash and cash equivalents on hand. Net debt of $852 million represents an increase of approximately $341 million from the end of fiscal 2024, as we made our acquisition of Brentronics, returned $142 million to shareholders with share repurchases and dividends, and continued to invest in our business. Our credit agreement leverage ratio was 1.5 times EBITDA. Our balance sheet remains strong and positions us to invest in growth and navigate the current economic environment. We anticipate maintaining our net leverage at or below the low end of our two to three times target range, providing us with ample dry powder for our capital allocation decisions and to absorb potential regulatory changes that may impact us. Please turn to slide fifteen.
David Shaffer: During the third quarter, we paid $10 million in dividends and repurchased $39 million in shares. We currently have approximately $219 million remaining on our buyback authorization. We continue to evaluate promising bolt-on acquisition opportunities like Brentronics that align with our disciplined strategic and financial criteria and are focused on strengthening customer intimacy, expanding share of wallet with our leading positions in exciting end markets, and making progress on our transformation journey. Please turn to slide sixteen. We expect the fiscal fourth quarter to be one of our strongest quarters on record, driven by increasing order rates and favorable demand trends across our core end markets, as well as structural cost improvement actions and planned strategic new product releases. We are particularly encouraged by the steady demand return in the U.S. communications market and early signs of recovery in the transportation sector. These positive dynamics are tempered by ongoing macroeconomic uncertainty, particularly in EMEA, and the evolving policy landscape in the U.S., which we continue to monitor closely. Our fiscal fourth quarter 2025 guidance range is $960 million to $1 billion of net sales, up 8% at the midpoint compared to prior Q4, with adjusted diluted EPS of $2.75 to $2.85 per share, up 35% at the midpoint compared to prior Q4.
Operator: While our full-year revenue guidance
Andrea Funk: has been revised to reflect the non-repeat of one-off impacts in Q3 and steadily improving communications and transportation markets, we are confident in the strength of our diversified portfolio as we are successfully managing our business to increase profitability and cash flow. Additionally, margin expansion across our business is enabling us to maintain a positive outlook with year-over-year earnings growth and momentum. Our fiscal year 2025 revenue guidance is now between $3.603 billion and $3.643 billion of net sales, up 1% at the midpoint versus fiscal year 2024, but 3% below the prior guidance midpoint in an uncertain macro environment. We are raising our fiscal 2025 adjusted diluted EPS guidance range to between $9.97 and $10.07 per share. This represents an increase of $1.67 per share, or 20% at the midpoint compared to fiscal 2024, and an increase of $0.22 per share, or 2% from our prior guidance midpoint, with a pre-IRA tax rate of 18% to 20%. With or without the IRA benefits,
Operator: our fourth fiscal quarter
Andrea Funk: and full fiscal 2025 should mark a record for the company's earnings. Our CapEx expectation for the full fiscal year 2025 is approximately $120 million. As we look ahead, we see continued momentum in demand for reliable power solutions, underpinned by accelerating trends in electrification,
David Shaffer: digitization
Andrea Funk: and data-driven infrastructure. EnerSys is well-positioned to capitalize on these opportunities by helping our customers address their energy and labor concerns. We remain focused on delivering long-term value for our stockholders and are excited about the opportunities in front of us. With this, let's open it up for questions.
Operator: As a reminder, to ask a question, please press star one one on your telephone. To withdraw your question, please press star one one again. Our first question will come from the line of Noah Kaye with Oppenheimer.
Noah Kaye: Good morning. Thanks for taking the questions. Hope you're all well. Could we just start with maybe trying to bridge around the sequential revenue growth from Q3 to Q4? You know, about a $75 million increase sequentially. You know, I get Motive Power has always been strong seasonally and might be even a little bit stronger now because you're lapping that customer plant disruption. But how do you think about roughly breaking out among the segments?
Andrea Funk: Yeah. Good morning, Noah. How are you doing? It's good to talk to you. As you know, we don't give specific guidance by each LOB, but I can talk a little bit about, you know, how the markets are doing. Motive Power, you know, no concerns. Q4 tends to be our strongest quarter. We think some of the choppiness is behind us. Like everyone, I think the markets are a bit cautious with, you know, some of the administration changes, but we continue to have enthusiasm for maintenance-free energy systems. Shawn shared some of the order data that we have. So we believe while it's still not back to, I'd say, even a normalized state, we are definitely seeing a continuous, albeit slow, return to normalization. Specialty, we've had some great indicators in the March. A&D is solid. Brentronics is going well. You know, we really think we've gotten through the inflection point overall, and businesses are returning to normal. So, you know, we feel good about that. I would say also if you want to look at our EPS, we had, I mentioned it, you know, in prepared remarks, but we had about $0.20 of pressure that we know won't repeat. We knew it was going to happen in the third quarter. The biggest piece was about $8 million pressure we had from some commodity hedge timing, which is really just timing of lead and commodity price movements. If you look throughout each quarter, you know, we had about $0.06 of a spike in lead cost in our second quarter that flowed through in our Q3 results. So we have good visibility going into Q4 of knowing it won't repeat. But when you look at that, you know, versus Q1, Q2, and what we know will happen in Q4, there's about $0.16 of pressure from that alone. If you pull that out, it's really kind of a steady trajectory throughout our quarter as things continue to improve.
Noah Kaye: It explains, Andy. I think with ES, you know, just to double click, you know, some of the cost actions that we're taking, business optimization earlier this year, you know, certainly, I've been part of the margin improvement story, I think. But, you know, as we look at the fourth quarter, I think the company has personally targeted maybe getting into the 8% to 10% range. How viable does that feel based off of both the end markets recovery and just some of the timing of some of these, you know, optimization benefits?
Andrea Funk: Yeah. I absolutely feel 8% to 10% is in range, but likely not Q4. It's where we thought we'd get there. The recovery has been a little slower. And when you have the transportation pressure as well as the comms pressure, the under absorption that we have in our Missouri plants, you kind of get that double whammy. But we absolutely are still committed and feel very confident that in, and I'd say near term, not long term, 8% to 10% is the margin in the low end of the business, 10% to 12% overall, and 12% to 15% on the high end.
David Shaffer: So we should get near that if we're not in it by the fourth quarter. And certainly throughout the course of 2026. That should be our mantra. And you know, I know Shawn can comment on this further. Keith is absolutely committed to not bringing back the headcount work that Shawn put in place as the business resumes. We get under absorption of our Missouri plants as well as our service team. So what we found is kind of service lags the products coming back. And we don't want to let those service guys go. So all of that, you know, this the headset we have there that are, you know, tech guys that we need to retain. We end up getting some under absorption, which pressures those service margins. But as we're seeing the product order start to come back, the service will follow. And then Keith also has a lot of additional service optimization efforts underway. So I don't know if there's anything I just add and Shawn, if I say anything wrong, he can fix it. But I would say most of the Q3 and probably Q4 question marks, as it relates to this, is service-related. And to Andy's point, getting that lag kind of right. It service carried us when product sales slowed down. And now it's sort of the flip where the service is going to have to catch up to the product sales. So but yeah. I would say, but the order rates give a lot of confidence, Noah. And yep, we just need to execute.
Noah Kaye: Thank you both. And maybe you can expand on that and certainly Shawn as well, since it's Anya's question. But you know, maybe talk about, you know, the shape of the demand recovery and comms. You know, you mentioned a couple of times a little bit more gradual. So maybe give us some more color by, you know, either region or type of spend, maybe what's leading, what's taking a little bit longer, and kind of how you think about sort of the shape of the trajectory from here?
Shawn O'Connell: Yeah. So hi, Noah. It's Shawn. I'll take that one. So, you know, Dave hit the nail on the head with us with the service. So I, you know, I really bifurcate the recovery into two parts. The first being the cost piece that Andy spoke to, and there's certainly more opportunities to continue to work on costs. As you know, we started a transformation journey, you know, about a year ago. Concurrent with my tenure in that business, and it's just that it started. And there's opportunity remains to continue to refine that structure and develop OpEx leverage. The second part is volume. And the part that was a little slower for us was this service recovery, and Andy mentioned that. And there's just a certain foundational element to service even with all the cost flexing that we've done that goes under absorb. And to Dave's point a year ago, as the markets had shut down and we were no longer seeing product sales, if you remember the time. It was the inventory that the carriers had purchased that were sort of the glut in the system. Even with the product sales shutdown, we were recognizing some record service numbers at the end of the year. They were muted by the overall revenue base, but and it stands to reason. Right? You have all that material in the field yet to get it installed. On the ramp back up, we're seeing the product sales are we actually outperformed in product sales in Q3. This, I'm muted by the lack of service, which would lag it a little bit. And so we're going to continue to see that as the product sales come back. The services will have that lag event coming in. But the biggest area where we need the recoveries in the Americas. We need it in break fix, and we need it in project work. And we're seeing all of the resiliency break fix type spend sort of come back and reach normal. And then we're seeing the beginning vestiges of project work in the Americas where we have the again, the lion's share of our mass. And that work is really laying the groundwork to cross AI traffic. So we have, we mentioned in the prepared remarks, a 20% uptick in a certain telecommunications customer. And what this is is expanding the power requirements within macro sites. And we've mentioned hyper boost in the past, so being able to put more power up the Jira without a lot more infrastructure up the tower and new cabling up the tower. But in addition to that, we're deploying our energy router where we're able to throttle different pieces of equipment based on the needs of the carrier without rolling trucks. And that's giving them a lot more optionality in their backbone as these loads come online. So those are the types of projects that we're seeing. We're also seeing, you know, the old brick and mortar central offices and head ends. The carriers are starting to realize that these are actually can be AI, you know, data-driven support centers. So there's a renewed interest about that. But those are the areas that we're seeing it. And again, encouraging signs across the markets.
David Shaffer: Yeah. And just to wrap it with a bow, Noah, on the modeling. Year on year, Q1 down 15%. Q2 down 10%, Q3 up 4%. You know, Q4 should be, you know, well into the mid-double digits. But if you look at our Q4, Q3 is not sizably up over Q2 sequentially. And Q4 is probably not going to look all that different than Q1 of last year and Q2, you know? So it's definitely a nice trajectory. It's definitely we've gotten through this view, but you can see we're not yet back where we should be in just a little slower. But great fundamentals happening both in our internal cost structure as well as indicators that things are coming back and getting through some of this market uncertainty have right now certainly help us as well.
Noah Kaye: Yeah. Yeah. Yeah. More to Linda Head. I got a lot more questions. I'll take them offline. So thank you.
Operator: Super thanks, Noah. Our next question will come from the line of Greg Lewis with BTIG.
Greg Lewis: Hey, Greg. Yes. Thank you. Hey. Hi. How are you? Thanks. And thanks for taking my questions. You know, I guess you kind of really highlighted telecoms soft to the pivot over to motive. You know, as we kind of look at motive and it's, you know, been resilient, kind of as we're kind of working with customers and seeing what's out there, is that is is that kind of should we kind of think about that as, hey. We're going to continue to, you know, continue to fight for pricing and continue to just push things forward. But it does seem like it's kind of more steady as she goes in motive here for the next few quarters.
Shawn O'Connell: Yeah. I'll take that, Greg. This is Shawn. Hi. You know, we had and it was mentioned in the prepared remarks. You know, there was a little bit of malaise at the end of last year. Particularly going into November in the Americas, and, you know, but there was sort of an exhale in December and we've seen our order rates pick up quite dramatically. And December was our best month of last calendar year, and they have not slowed in January. If you look at our forward outlook, all of our industry indexes and associations that we follow anticipate lift truck shipments to reach near double-digit growth this calendar year. So I think the team did a great job, you know, manning. And we really see a path back to growth this year fairly robustly. And just to give you another data point on that, you know, our book to bill in motive power was 1.3 across all regions. So even in Europe where we had the fire at our biggest customer, we're just seeing that activity come back very nicely. So we remain pretty confident that, yes, will be steady, but we're going to come back to growth.
David Shaffer: Yeah. I guess the only thing I would add to that is the product management and the product portfolio all looks very solid this year. So there's a lot of new exciting products coming online. With exciting feature sets for the customers and good margin growth opportunities for us. So a lot of things going right in the motive biz.
Greg Lewis: Okay. So the I guess some of the these animal spirits are coming back. And I guess, you know, the last few weeks have been challenging for anybody that's running a business. You know, as you think about that was great. Right. I well, you know, I have to ask about tariffs. And so as you kind of look and see, you know, the opportunities ahead, I mean, which seems like telecom's finally, you know, we've been waiting for that recovery for a couple of years. It seems like it's here. Know, as you think about managing, you know, the tariffs, and sourcing, I mean, yeah. How do we what can we do and how do we is it just pay? You know, we're just going to have to push that on our customers or just kind of, you know, curious how you're thinking about that. And if there's things, you know, I guess if we're taking things, you know, I guess there's a 30-day window, you know, can we I imagine supply chains are kind of strict. You know, it's you can't just flip a switch and get everything you need in 30 days. So just kind of any color how you're thinking about managing through this over the next couple of quarters.
David Shaffer: Yeah. Greg, you know what? I'm just going to go ahead. We'll talk about tariffs. I want to talk about the DOE funding and the inflation reduction act funding, the 45x will just kind of hit it all. And our strategy and our products are very well aligned with this administration's priorities of creating US jobs, grid resiliency, the military supply chain. So I think we're on the right track. And there's certainly uncertainty right now. And as this administration is moving quickly, we just sort of have to sort through it all. And so I'll start, I guess, with the DOE funding on the lithium plant. We're still very excited about this project. I was disappointed during our board meeting last week. I couldn't go to the state of the state address for Governor McMaster, who mentioned our project. So there's still a lot of commitment for that. But certainly, the changes in administration, it's causing us to kind of put a little bit of a hold on things until we get some clarification, get through the budget reconciliation process, and but again, I'm very confident given the fact that our grant has already been sort of allocated to the National Energy Tech Lab and the feedback we've been getting from our folks in DC that we just need to get through this period of time. But that said, we're, you know, we're I just can't stress enough that we're going to be disciplined about our capital allocation. And what we're going to do and the choices we make for meeting the high hurdle rates. So I guess that's on the factory. Shawn, you kind of want to talk on tariffs since you guys are doing so much in the war room on that?
Shawn O'Connell: Yeah. So Dave mentioned, you know, the concept of a war room. We've done a tremendous amount of work to de-risk supply chain. And, you know, we learned we took some scars during the pandemic, but I think we navigated it well. We've been a tremendous amount of energy de-risking China, giving ourselves optionality around the world. We've talked in previous cycles about building flexibility into our TPPL plants. So to Dave's point, you know, nobody's going to totally mitigate or ameliorate the tariffs, but I would tell you our sales teams and operations teams have been in lockstep. We have a playbook. We have a playbook ready to go, and we're calling plays going into the Monday morning to respond to the weekend tariffs. We obviously pulled back on those and I just want to quantify that my answer on tariff is as of 9:47 AM. But I really do believe the investments that we've taken have put us in a better spot than we've ever been to be flexible and to move things around the world and try to react to these situations. Again, I don't want to give the impression that anybody can know the extent of where these things will manifest in the supply chain. I would just tell you that our supply chain is more resilient now and our optionality is better than it's ever been. We'll just continue to have this in our windscreen, continue to work this from a war room perspective, and continue to model out where we think these are going to happen and do our best to stay ahead of them.
Greg Lewis: Okay. And I think I'm I know. I guess my other question is as we think about NAFTA versus, we'll just call it Asia, you know? What's more important to our supply chain? What was the first thing?
Shawn O'Connell: What versus I was going to say between, like, so like, around tariffs as we think about Asia versus, you know, Mexico when you get Canada, you know, with NAFTA. You know, I guess, you know, those are on hold. But what's more important to the supply chain?
David Shaffer: Yeah. So we were actually, you know, the China tariffs are fairly muted, and we've done a lot of work to mitigate that anyway. We saw the Canada and Mexico tariffs as a much bigger event for us. So we did a lot of work to mitigate that. You know, you have about 10% of US revenues that are dependent upon Mexico, for example. And there are products that come from Mexico that aren't made anywhere else. On the other hand, we have products that come from Mexico that can be 100% made in our Richmond, Kentucky facility. And then a piece of Mexico is our data center battery, our light, you know, standard lead acid valve regulated data center battery. But our data center trajectory in TPPL has been extremely strong. And, you know, there could be an option to migrate that to TPPL, should we so desire. And our customers are really receiving TPPL well. So there's a lot of scenario planning that we're doing, but the Canada and Mexico one was fairly substantial this time around. And then from Canada, we have dependent parts of our supply chain for TPPL. So there was a lot of work going into mitigating those actions as well. But to your point, we've got our eyes on Europe as well. Right? We've got our eyes on Europe. We've got that modeled and ready and so, yeah, it's thanks. Certainly, those were not ones we would have addressed during the pandemic, if you will.
Andrea Funk: Yeah. And some specific actions we've taken, Greg. We've built some strategic inventory already to buffer from some of this. We've modeled fair pricing actions that we're prepared to act on swiftly in various scenarios if necessary. The TPPL manufacturing could actually help us as more customers convert to TPPLs favorable. So tariffs could actually accelerate that conversion. So the last thing I'd comment is we have more than three months of inventory on hand in general. So generally speaking, when tariffs actions, if and when they'd occur, they wouldn't materially impact us for about a quarter after it in effect. And, you know, last question, I'm sure, on modeling, we didn't build specifically tariff costs themselves for that reason. Yeah. Right now, there's nothing currently in place. And because of the inventory build, what we have built is some continued uncertainty, which, you know, we talked about how quickly some of these markets are coming back or growth in motive power. And we do feel like it's impacting just overall market demand because of the uncertainty. And when that gets behind us, we think there'll be a little bit more robustness in the marketplace.
David Shaffer: There's absolutely some reticence out there by some of the customers to make decisions till they have some clarification on some of these things. So that's why we did what we did in the Q4 forecast.
Greg Lewis: Great. Well, hey, that was all super helpful. Thank you very much.
David Shaffer: Thanks, Greg.
Operator: Our next question comes from the line of Chip Moore with Roth Capital Partners.
Chip Moore: Hey, Chip. Hi, Chip. Good morning. Hey, everybody. Thanks for taking the question. I guess we've hit energy systems and motive and the policy stuff. Maybe I'll ask on specialty. Sounds like aerospace and defense visibility there is quite good. I guess maybe expand on that. And then I think Brentronics in particular, you mentioned you've seen some larger and longer-term orders now that they're under your umbrella. Maybe expand on that.
David Shaffer: Yeah. I can start. I would say, especially, transportation, as we said in the prepared remarks, that order book is improving. So the market, the industry data, seems to be progressing. We've made very serious significant progress on the new equipment and the new lines. Shawn, do you have specific updates on the production equipment in Taiwan?
Shawn O'Connell: Yeah. I do, Dave. So good morning, Chip. The lines are coming online as we had socialized. So by the end of this quarter, we'll have the first of the two lines sort of up to speed and running, and the second line, you know, totally up to speed and running by the end of the summer. And, you know, these are 50% faster than the original lines we're using with half the labor content. So it's a big pickup for us to migrate that volume to those lines and the translated benefit. But we should be, I would say, full speed on both lines by Q3 of next year.
David Shaffer: Yeah. Just to put a little bit of data on top of that, the transportation book to bill was 1.35 in Q3. Our transportation backlog grew by 44% over Q2 on a 44% increase in orders sequentially. So, you know, it's seeming promising for us. And as you mentioned, Brentronics is just really exceeding our expectations. As you probably saw, $28 million of revenue in Q3 of 2025. So I think there's a real nice outlook.
Shawn O'Connell: Yeah. I think Shawn noted earlier in his comments that what we're getting a lot of feedback on with BT or Brentronics is the combination of EnerSys and Brentronics is very assuring to some of the customers, the army, and they like the combination. They like the stability, the balance sheet. So it's really been a good news story.
Chip Moore: Yeah. That's great. That's helpful. And any more on aftermarket rolled out in the heavy-duty trucking market? How's that progressing?
David Shaffer: It's progressing well. I would say that we're very focused on that. We need to focus on pricing. We need to keep our eyes on tariffs, so there's a lot of blocking and tackling we have to do. But moving that mix is absolutely a big part of our improvement plans for this business.
Chip Moore: Great. And maybe just one last one for me. To your point on Brentronics being a good fit, I guess, net leverage, you know, 1.5 times and obviously, you've got that $135 million coming in with taxes. Just how are you thinking about the M&A funnel? You know, are you seeing more opportunities like that?
David Shaffer: We think this could be a big year for M&A overall. And we definitely have some things in the hopper. And this is an area, you know, specialty and specifically A&D is an area that we're looking at. Of course, we're looking at other parts of the business as well. But the balance sheet's in great shape. Andy, is there any color you want to add?
Andrea Funk: Yeah. I mean, our leverage is at 1.5 times. You know, it's a slight increase from the beginning of the year on Brentronics, excluding IRA, which we always look at it with and without, would be 2.1. We anticipate staying, you know, at or below our target range of two to three. We talk about, you know, continuing to look at opportunities where we can maximize shareholder value through accretive acquisitions. So we're constantly looking.
Chip Moore: Very good. Appreciate it. Everybody. Thank you.
Operator: Our next question comes from the line of Brian Drab with William Blair.
Brian Drab: Hi. Good morning. Thanks. Hey, good morning. Thanks for taking my questions. I think that I'm just being dense here, but I'm we're at the end of the call, and I still don't really understand something. So we're lowering the sales outlook by $100 million and we're you're I'm hearing that the, you know, the reasons are the slower than anticipated recovery in communications and transportation markets. And there was an issue, I know, with a major customer and motive but then also the outlook includes improving communication markets and improving transportation. So can you just, you know, talk about why, you know, the like, rank order, the reasons why sales or expectations down $100 million and talk about, you know, did some of that revenue that you lost because of the customer sheet, does that get pushed from the third quarter to the fourth quarter?
Andrea Funk: Sure. I'll be happy to take that, Brian, if it helps. And as you know, the number that you're quoting on revenue, of course, for the full year includes both the Q3 and Q4. And our Q3 revenue obviously was below the low end of our guide that, you know, I should point out. If it wasn't for FX, it would have been at the low end of our range, but still somewhat of a disappointment while EPS, you know, I'd say pull out the impact of IRA was right in line with where we had expected that it would be. So as we look at that going forward, we're trending off the fact that in Q3, comps didn't come back as quickly as we thought, trends didn't come back as quickly as we thought. We are seeing progress on both of those. As we mentioned, Brentronics was an overbeat. Motive Power some of them missed in Q3, I'd say probably just under $10 million was due to that customer fire that would have put us, you know, again, closer to our midpoint. We won't get a huge surge in Q4. They were at full capacity before they had a fire. They're back at full capacity now, so we probably won't get a catch-up on that. Until they have their scheduled shutdowns next year is when they'll probably be able to get ahead a little bit. That happened in October, so we had a full quarter impact. And, you know, again, there's just a general little bit of reticence on spending because of some uncertainty with the administration. You know, so that's kind of tampering things a little bit, and I'd say that drove some of the Q3 miss and our expectations for Q4 as well. As we said, we built a little hesitation in there. The trajectory is good. But there's going to be a little bit of slowness mostly because of that. And I think we've demonstrated that we manage the business well even when we don't have the revenue we thought we would that we're able to manage our expenses and hit these EPS targets. And based on that, both revenue and EPS, we narrowed the ranges with more confidence in what we expect to be able to deliver in the fourth quarter. Does that help? And, again, I mentioned that commodity hedge item. Yeah. I think if you pull that commodity hedge timing out, that's just at $0.16. Don't even look at, you know, our EBITDA excluding IRA. If you look at Q2 sequential changes, Q1 to Q2 up 10%, Q2 to Q3, up 12%, Q3 to Q4, probably up 12% to 13% again. So if you pull out the IRA noise and you pull out, you know, you pull out that one-time item that we had that we know won't repeat again because we capitalized our items, our cost of sales items, and we expense them a quarter later. It's really a nice steady trajectory.
Brian Drab: Okay. And then on the communications side, you know, you talked about America's orders rebounding about 40%, but is that are we still well below levels that we were at previously? Off of a relatively low base. Right? But because I'm just trying to reconcile, you've got, you know, slow return to normal in communications with also, we have 40% order growth in the Americas in communications, which sounds excellent. Right?
Andrea Funk: I think the one thing that's important to keep in mind is you're often easy comp. Last year in Q3 and Q4 is when it really started to crash. So that's where I'm talking about. If you look at year on year total energy systems Q1, again, I mentioned 15% down in the first quarter, 10% down in the second quarter, 4% down in the third quarter. So in the fourth quarter. So you're looking at Q4 year on year is going to be a big pickup sequentially. You know, it's going to be nice steady improvement. So our fourth quarter ES is probably going to look pretty much like our first quarter. So it's a U-shaped, and you'd expect to be growing from there. So we're thinking Q4 is going to be kind of like just about at normalized levels. And then coming out of that, it will have some return to normalcy with Missouri costs, as we start to have better absorption as those lines start to come online. As we start catching up in our service, like Shawn mentioned, and then from there, we should have some growth.
Brian Drab: Yep. Okay. Perfect. Pull it together. And have you follow-up with some individual Yeah. I'll follow-up.
David Shaffer: Yeah. I'll follow-up. I'm sure everyone's jumping to their next earnings call here like I am too. So have a good morning. Thanks for everything.
Operator: That concludes today's question and answer session. I would like to turn the call back to David Shaffer for closing remarks.
David Shaffer: I want to thank you for joining today's call. And thank you for your interest in EnerSys. We look forward to updating you again next quarter. Have a good day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.